Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to SeaWorld Entertainment's Fourth Quarter 2017 Financial Results Conference Call. My name is Jamie and I'll be your conference operator today. After today's presentation, there will be an opportunity to ask questions. Please note that today's event is being recorded. And at this time, I'd like to turn the conference call over to Matthew Stroud, SeaWorld's Vice President of Investor Relations. Sir, please go ahead.
Matthew Stroud - SeaWorld Entertainment, Inc.: Thank you and good morning, everyone. Welcome to SeaWorld's fourth quarter 2017 earnings conference call. Today's call is being webcast and recorded. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Yoshikazu Maruyama, Executive Chairman of the Board of SeaWorld; John Reilly, Interim Chief Executive Officer; and Marc Swanson, Chief Financial Officer. This morning, we will review our fourth quarter and fiscal 2017 financial results and then we will open up the call to your questions. Before we begin, I would like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our Annual Report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. These factors may be updated from time to time and will be posted in our filings with the SEC and made available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call we may reference adjusted EBITDA and free cash flow which are non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of these non-GAAP financial measures to the most comparable GAAP measures are included in our earnings release available on our website and can also be found in our filings with the SEC. Now, I would like to turn the call over to Yoshi Maruyama. Yoshi?
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: Thank you, Matthew. Good morning, everyone, and thank you for joining us. Most of you have read this morning's press release, but the board and I thought it would be helpful to you if I join the call today to discuss our leadership transition plan. I'm going to provide some brief comments and then turn it over to John and Marc. As we said in our release, John Reilly has been appointed Interim CEO, succeeding Joel Manby and the board has asked me to serve as Executive Chairman on a temporary basis until a permanent CEO is identified. The board requested that I take on the temporary role of Executive Chairman because of my more than two decades of global theme park and family entertainment industry experience. I will be here to support John in whatever way is most helpful to him and I will return to my position as Chairman as soon as we've appointed a permanent CEO. With Joel's departure, we have reduced the size of the board by one, but in all other respects, the board remains the same with Don Robinson remaining in his important role as Lead Independent Director. Joel Manby joined the company three years ago. He led the company through major strategic initiatives over the past three years. Now, with our improving operating and financial performance trends, along with the substantial progress he made in enhancing the strategic positioning of the company's brand, the board and Joel together decided this is a good time for this transition and a good time to identify a new CEO who can continue our strategic momentum and intensify our focus on execution. On behalf of the board, I want to thank Joel for his many contributions and accomplishments. He leaves the company in a strong position on an upward trajectory and we wish him all the best. I've gotten to know John well over the past several months and he has greatly impressed me with his deep knowledge of the company and his effectiveness. He is the right choice for this role. For those of you who may not know him, John is an accomplished executive with decades of theme park experience and a proven track record of delivering results. He is ideally positioned to build on the progress we have been making and to enable the company to capitalize on the potential of our portfolio of exceptional and irreplaceable entertainment assets. Before turning the call over to John, I would like to say that as I have spent more time with the team here, it's become clear to me that we have some of the best people in the industry. The entire board has full confidence in John, Marc and the rest of the SeaWorld team to accelerate our growing momentum through strong and disciplined execution. Now, let me introduce John.
John T. Reilly - SeaWorld Entertainment, Inc.: Thank you, Yoshi. I'm really excited to be here today and to take on this new role. I started at Busch Gardens Williamsburg as a food service cashier at The Loch Ness Monster drink stand during a high school summer break in 1985. Over the course of my 32-year career here, I have come to appreciate our distinctive positioning as a mission-driven brand. We have a unique portfolio of highly attractive and differentiated assets that are among the best park assets in the world. We attract guests with a compelling combination of entertainment, education and our exceptional ability to connect people and wildlife. We are expected to deliver a great experience and a great value and one of my priorities will be to focus even more intently on making sure we exceed those expectations every time someone enters our parks. My specific experience here has been in almost every part of the company. I've worked in three of our six markets and across departments. As Yoshi mentioned, in addition to serving as Chief Parks Officer, I've also served as Park President of both Busch Gardens Williamsburg and SeaWorld San Diego. I know this company and this industry intimately and have enormous confidence in our opportunities. Our distinct competitive advantages underscore my confidence that we will deliver the results you expect as we intensify our focus on execution and profitable growth. I'd like to close by thanking Joel for his tireless efforts on behalf of the company. He was an inspiring leader and reinforced SeaWorld as a company dedicated to doing well by doing good. He was also a great support for me and I'll always be grateful for that. I am committed to helping achieve the enormous potential he always saw in our company on behalf of all our important stakeholders. I look forward to meeting with and introducing myself to many of you over the next few months. But for now, I would like to discuss our progress over the last quarter and some of the encouraging trends we are seeing as we start 2018. Then, I'll hand it over to Marc to discuss our financial results, highlighting the reasons for our growing confidence. We are pleased to report better-than-expected fourth quarter and fiscal 2017 financial results. We exceeded our revised guidance for fiscal 2017 adjusted EBITDA surpassing the top end of the range by almost $6 million. Fourth quarter 2017 trends showed sequential improvement versus the first nine months of the year. While attendance for the fourth quarter was below last year's levels, total revenue per capita was higher than the previous year. We saw attendance growth in many of our markets from our 300-mile and in guests, but we still experience attendance declines from our U.S. domestic and international guests. We've developed specific sales and marketing initiatives in 2018 to address this challenge. As we think about 2018, we are pleased with the momentum we drove coming out of the fourth quarter. We have continued this momentum through January and into the first three weeks of February. Our new marketing and pricing strategies have begun to drive higher season's pass sales and overall attendance, including in our California market. We're excited about our 2018 sales and marketing initiatives that we believe will help drive domestic attendance and reinforce our position as one of the world's leading animal rescue organizations. We have designed and are implementing what I believe is the most comprehensive strategic marketing communications campaign in the company's history, which is supported by the largest investment we've ever made in this area. We are introducing a new ride attraction or event at almost every one of our parks in 2018 which we expect along with our new marketing sales and pricing initiatives, will drive increased visitation, revenue and adjusted EBITDA. At SeaWorld Orlando, we are introducing Infinity Falls, a rapids ride with the highest vertical drop for a ride of its type in the U.S. At SeaWorld San Diego, we are introducing Electric Eel, a triple-launch steel coaster that will be the tallest and fastest coaster in San Diego, hitting speeds of more than 60 miles an hour. We are also introducing our extremely popular Sesame Parade which will be the first of its kind on the West Coast, featuring many of the iconic Sesame characters, themed floats and contemporary music. We also introduced the Inside Look event at SeaWorld San Diego, an event that turns the parks inside out to show guests what we do every day. In January, our guests had the opportunity to go behind the scenes and see our animal care, rescue and rehabilitation operations. We saw overwhelmingly positive response to this event from our San Diego guests. Inside Look will also be introduced in SeaWorld Orlando and San Antonio later this year. At SeaWorld San Antonio, we are also introducing a Sesame Parade, the first of its kind in Texas and the Electric Ocean nighttime celebration, an exciting all-ages music event with dazzling lights, pulsing dance music and live performers. Electric Ocean was a hit with our guests in our SeaWorld Orlando and San Diego parks and we're excited for its debut in San Antonio and its return to SeaWorld Orlando and San Diego. At Busch Gardens Williamsburg, we are opening a first of its kind virtual reality action ride, Battle for Eire, featuring the latest in VR technology. At Busch Gardens Tampa, we will introduce BierFest, a one-of-a-kind Oktoberfest celebration, featuring international and local craft brews, traditional German cuisine and live music. This event has been very popular with our guests at Busch Gardens Williamsburg and we expect a similar reception in Tampa. In addition, we will also enhance our Summer Nights event that features themed party zones, dance music and sensational summer cuisine. At Sesame Place, we are introducing Oscar's Wacky Taxi, a first of its kind children's wooden-steel hybrid roller coaster that will take some of our younger guests on a crazy, curvy taxi ride. It's one of the largest investments in the park's history. Our waterparks will also see several new water slides introduced this year. Aquatica Orlando will open Ray Rush water slide this spring, a triple-element launch slide that will be the first of its kind in the State of Florida. Aquatica San Antonio will open Taumata Racer, the only six-person mat racer water slide in the Greater San Antonio Area with 375 feet of twisting, turning, sliding fun. And Adventure Island in Tampa will introduce Vanish Point, the Tampa Bay Area's only 70-foot drop slide with 425 feet of spiraling tubes. I believe we have the best collection of rides, attractions and events we've ever had with seven rides, six events and two parades. Several have distinctive features with proven appeal and others are highly successful attractions in one market that we are now introducing elsewhere. This new product line up along with our new marketing communications strategy gives me great confidence it will drive attendance, revenue and adjusted EBITDA growth in 2018. With that, I would like to turn the call over to Marc to discuss our financial results. I will then return to offer some final comments. Marc?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Thanks, John, and good morning, everyone. As John mentioned, our financial results exceeded the revised expectations for the year that we had communicated in November. We attribute this outperformance to stronger-than-anticipated revenue performance from our Christmas events. These events were popular with our guests and featured a variety of enhanced food and merchandise offerings that were well received. Fourth quarter attendance declined primarily due to lower U.S. domestic and international attendance. During the quarter, we generated revenue of $265.5 million, a decrease of $2.1 million or 0.8% compared to the fourth quarter of 2016. The decline in revenue results from the modest decline in attendance, largely offset by increased admissions per capita and in-park per capita spending. We reported a net loss of $20.4 million or $0.24 per diluted share as compared to a net loss of $11.9 million or $0.14 per diluted share in the prior year quarter. Adjusted EBITDA was $54.7 million, a decrease of $3.5 million or 6% compared to the prior year quarter. As we mentioned in the earnings release, the fourth quarter 2017 adjusted EBITDA calculation does not reflect approximately $3.8 million of adjustments due to certain limitations in the company's credit agreement. While our fiscal 2017 total revenue per capita declined, fourth quarter total revenue per capita increased to $62.32 compared to $61.12 in the fourth quarter of 2016. Admission per capita increased by 1.3% to $37.57 and in-park per capita spending increased by 2.9% to $24.75 compared to the prior year quarter. During fiscal year 2017, we generated revenue of $1.26 billion, a decrease of $81 million or 6% compared to fiscal year 2016. The decline in revenue results primarily from the decline in attendance. We generated a net loss of $202.4 million or $2.36 per diluted share which includes an after-tax non-cash goodwill impairment charge of $215.1 million incurred in the second quarter of 2017 as compared to a net loss of $12.5 million or $0.15 per diluted share in the prior fiscal year. Adjusted EBITDA was $300.8 million, a decrease of $31.1 million or 9.4% compared to the prior fiscal year. We are making solid progress on the expense reduction front and fully expect to achieve our targeted $40 million in net cost savings by the end of 2018. A majority of these savings were realized in 2017 and the remainder will be realized in 2018. As we noted last quarter, we have identified an additional $25 million in cost savings which includes the actions we took in October. We are continuously looking for additional cost savings and revenue-generating opportunities. As I said in the press release this morning, we feel confident about our financial flexibility heading into 2018. We delivered better-than-expected performance to end the fourth quarter and this is carried over into 2018 with positive season pass and attendance trends. Let me also address recent changes in the U.S. tax law and how we anticipate those changes will affect SeaWorld. As many of you are aware, we have NOL carryovers that can be used to help offset projected taxable income in the future. Taxable income that is not offset by net operating losses either through exhausting NOL carryovers or limitations under Internal Revenue Code Section 382 will be taxed at the new 21% rate instead of that 35%. We now project to be a cash taxpayer later than we had previously expected. Finally, we do not expect an immediate impact from a cash flow perspective. Now, I would like to turn the call back to John.
John T. Reilly - SeaWorld Entertainment, Inc.: Thank you, Marc. Before I open up the call to your questions, I have a few closing comments. We have an outstanding team of ambassadors and leaders in all of our parks who are committed to our success as a company. I want to thank them for their continued efforts to provide exceptional service and meaningful experiences to our guests. I also want to acknowledge our zoological team. We are leading animal rescue and rehabilitation organization and our team works tirelessly on these efforts. I'm proud to announce that in 2017, we rescued over 2,100 animals and have now rescued over 31,000 animals since our founding. This is an important part of who we are and what we do as a company. Our primary goal is to provide experiences that matter and to inspire our guests to protect animals and the wild wonders of our world. Our compelling product line up, updated pricing strategies, increased marketing presence and relentless focus on cost control and process improvement give us confidence that we are well-positioned to deliver improved financial performance in 2018. As Marc mentioned, our year-to-date 2018 trends are positive with increases in season pass sales and total attendance. We have one of the best new product line ups in the company's history with 15 new rides, attractions and events being introduced across the park portfolio and we have what I believe is the most comprehensive strategic marketing and communications strategy in the company's history to support our new product investment. We are confident that we are on the right path to delivering improved financial results in 2018 and beyond. We're excited about the future as we see many opportunities for growth and we look forward to sharing our progress with you. With that, I will open up the call for questions.
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. Our first question today comes from Steve Wieczynski from Stifel. Please go ahead with your question.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Yeah. Hey, guys. Good morning. So, John, I guess with this transition, I guess could you walk us through maybe the difference between you and Joel and maybe help us explain are there any material changes between kind of his vision and the way you see the company and the way you can grow the company?
John T. Reilly - SeaWorld Entertainment, Inc.: Yeah. Thanks for your question. This is John and first, I'll just say that Joel was an inspiring leader for me and for many of us in the company and we believe in the five-point plan that he has laid out. We have been and we are executing against that plan and I think what you can see from the fourth quarter results where you see increased per capita spending, admissions and in-park spending are fast start (21:02) to pass sales in Q4, our trend improvement versus the first three quarters of the year in 2017 and then the momentum that we have carrying into Q1 with positive attendance versus prior year and a really strong pass performance. I think what we're seeing is that five-point plan bearing fruit. So, we're encouraged, we continue to execute against that plan. We're grateful for the strategic and inspiring leadership that Joel set out for us. That said, going forward, I just took this role on and I really believe that if there are going to be any changes to the plan, we'll get back to you and we'll update you along the way.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay, great. Thanks. And then – and another question for you, too, John. I know in your prepared remarks you talked about – you mentioned EBITDA growth in 2018. I know you guys won't give guidance till the next time you report, but is it fair to say from that comment that you're absolutely expecting to grow EBITDA this year?
John T. Reilly - SeaWorld Entertainment, Inc.: Yeah, we expect strong performance in 2018 and we expect revenue growth and we expect financial performance growth on the bottom line and what gives us confidence there, first of all, the indicators that we talked about in Q1 with attendance and pass sales that set us up nicely. Secondly, the 15 new attractions, events and the two parades that we're launching across the company, I can tell you, in my more than three decades with this company, I don't believe I've ever seen a stronger new attraction line up and that's all ahead of us. You'll start seeing three of those attractions coming out in March. So, I think the indicators that we have quarter-to-date and then what's ahead of us with our attraction plans, our pricing optimization and our marketing and communications plan that's larger than anything that we've had in the past, we absolutely expect strong financial performance.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay, great. And one quick housekeeping question for Marc. Marc, do you have the deferred revenue balance at the end of the year?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah, you'll see – hey, Michael (sic) [Steve] (23:17), it's Marc. You'll see the deferred revenue we'll file in our 10-K will be about $79.5 million. So, it's up about 1% to prior year.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay, great. Thanks, guys. Appreciate it.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Sure.
Operator: Our next question comes from Brett Andress from KeyBanc Capital Markets. Please go ahead with your question.
Brett Andress - KeyBanc Capital Markets, Inc.: Hey. Good morning.
John T. Reilly - SeaWorld Entertainment, Inc.: Hey, Brett.
Brett Andress - KeyBanc Capital Markets, Inc.: So, you talked about attendance and season pass gains year-to-date here in 2018. But can you give us some more color on what you're seeing in per caps and maybe how we should be thinking about that for the rest of 2018 because it seems like you made some good progress in the fourth quarter. So, I guess how much of that should we expect to be sustainable?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Hey, Brett, it's Marc. I can take that question. Yeah, so we saw – as you noticed, we saw a good per cap growth in Q4 both in admissions and in-park. And so, as we move into 2018, we've – you've heard us talk a little bit in the past about some of our pricing strategies. Those strategies are to drive total revenue. And so, I think what you'll see is we'll continue to drive good in-park per cap growth. On the admissions per cap, we're really trying to drive total revenue. And so we'll see how that shakes out on that line. But overall, we're out to drive total revenue. I think we feel confident about that plan in general.
Brett Andress - KeyBanc Capital Markets, Inc.: Got it. And then can you give us anymore color on the quarterly cadence of the $20 million of net cost saves I think you expect in 2018, but also that $25 million of gross cost save? And is it still roughly kind of a third SG&A and two-thirds operating expenses? And I guess the reason is because SG&A was I think close to $10 million, $12 million higher than we expected. So if there's any color there too. Thanks.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah, Brett, I can take that. This is Marc. So, the SG&A increase in Q4 was some of the incremental marketing spend that we had talked about and then also that's some of the legal costs, specifically some of the costs that we can't exclude. And as you think about the cadence of the $40 million net, a good portion of those savings were achieved in 2017. I mean, we had $50 million of EBITDA expense savings in 2017. So, I'd say about two-thirds of that $50 million is probably going to go towards our $40 million net because obviously some of those savings were variable in nature as well. So, we achieved a good portion of the $40 million in 2017. The $25 million that we've identified ahead of us, I would say that the cadence there would be somewhat consistent with kind of just the normal cycle of operations in our business, obviously higher in Q2 and Q3, but we have identified those and we feel confident with the plan that we can achieve those. And that's a combination of savings here, what we call the Property Support Center which is corporate, labor and non-labor and then also in our parks, a combination of labor and non-labor savings. But really at the parks, it's an efficiency effort around just being laser-focused on the cost and at the Property Support Center as well, but just being laser-focused and trying to be as efficient as possible.
Brett Andress - KeyBanc Capital Markets, Inc.: I'll hop back in the queue. Thanks.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Sure.
Operator: Our next question comes from Michael Swartz from SunTrust. Please go ahead with your question.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Hey, good morning, everyone. Just wanted to touch on something that you started talking about I believe a quarter ago, the marketing campaign and I think the Park to Planet specifically. Can you just talk about maybe how that's going and maybe how you envision that rolling out and when we should see some of the benefits from that I guess in 2018?
John T. Reilly - SeaWorld Entertainment, Inc.: Michael, this is John. So, yeah, we're excited about Park to Planet and we're also excited about the larger marketing sales and strategic communications enhancements that are part of our plan in 2018. Park to Planet has really just rolled out in a broad way (27:31) over the last few weeks. We're pleased. We're monitoring the results daily and I'd say, overall, with marketing, the benefits of that we expect to come after they're rolled out. We're spending more money. This is the largest marketing investment that this company's ever had. But we're also reallocating our spend and our resources across markets and plussing up our investments in national domestic and redoubling our efforts with our sales partners abroad. And then final thing about the marketing plan which includes Park to Planet is that we're reallocating our spend across channels. So, the mix of digital to TV and what we will do over the coming months is continually optimize that mix. This will be an iterative process. So, we're excited about the marketing communications plan overall and we're very pleased with the early results of a component of it which is Park to Planet.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Great. Thanks for the color then. And then just a follow-up on season pass. I think you said year-to-date it's up. Can you give us maybe some greater granularity in how much it's up and maybe some of the key parks where maybe it's up stronger?
Marc G. Swanson - SeaWorld Entertainment, Inc.: I think – this is Marc. I think what we can say is it's up kind of mid-single digits and I think we'd be comfortable saying that. I think that's where we'll end it, so...
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Okay, great. Thank you.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Sure.
Operator: Our next question comes from Tim Conder from Wells Fargo Securities. Please go ahead with your question.
Timothy Andrew Conder - Wells Fargo Securities LLC: Yeah. Thank you. Wanted to follow up on the question that was just asked there on the season passes. So, if the deferred revenue is up about 1% and you're up mid-single digits, then on the season passes, is that then more in general sort of (29:24) little more price competitive year-over-year or are there some other dynamics going on?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Hey, Tim, it's Marc. So, keep in mind, our deferred revenue balance has other components to it. Obviously, the largest piece is season pass. So, if you kind of strip out and just look at season pass within our total deferred revenue, season pass is up quite a bit more than 1%. What the drag is a little bit on the deferred revenue is that's where some of our other products, our multiday tickets, again kind of back to the drag we've had with domestic and international. So that does pull it down slightly. But, just within the category itself, the season pass sales are up more than 1%, but would you net (30:10) everything, multiday, some of the other products that are more popular with tourists and international guests, that's what's pulling it down to be up 1%.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. And then, I guess, the Orlando and this international question may be linked a little bit. So the Orlando, can you give us a little specific color? San Diego, you gave a lot of great color and very good, the direction that's now starting to go. Any color specifically on Orlando? And then specifically, I think in the last call you mentioned that you were starting to see stabilization in Brazil, Brazilian guests, but colors on Brazilian and Brits as they, I think, are your most important two international contingents and what you're seeing there directionally looking into 2018 and the things, John, I think you alluded to some adjustments that you all are making?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. Hey, Tim, it's Marc. So I can take that one as well. So the cadence there a little bit up. In Q4 we did see a very small growth in Latin America. It was up just under 1% and then the UK continued to be down, but not as much down as it was in Q3. As we move into this year, just early signs, Latin America is up and UK continues to be down. So there's some color there. And then specifically on Orlando, I think sitting here today, our day-to-day attendance there through yesterday is positive to prior year.
John T. Reilly - SeaWorld Entertainment, Inc.: And, Tim, I'll just add, this is John. In terms of Orlando, we're very confident in that market. As you know, last year, I believe the total visitors to the destination were approving – were approaching 70 million visitors. We believe it's a strong market. We've competed successfully there over time for decades and we really believe that we have to do a better job talking about our differentiated product. We have an irreplaceable animal collection. It's a unique guest experience that you can't find in any of the Orlando parks, other parks, competitive parks. So I think what you'll see us do going forward is better communicating the differentiators that set us up well versus our competitors.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. Gentlemen, thank you very much for the color. Very helpful.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Sure, Tim.
Operator: Our next question comes from Barton Crockett from B. Riley FBR. Please go ahead with your question.
Barton Crockett - B. Riley FBR, Inc.: Okay, great. Thanks for taking the question. I was curious about the first quarter Easter impact. Is there any Easter in the strength that you're seeing or is it not really a factor at this point? Just generally, how much of an impact do you see the Easter shift happening this year? That's kind of one question. And then the second kind of broader question is, you guys – how would you describe the brand issues at this point as they relate to animal activism and Orcas with your Park to Planet kind of ad out there resonating, time having passed from the negative Blackfish documentary? Are those concerns easing? Is that part of what's happening in San Diego? Is there any sea change in the public perception that's part of the story here?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Hey, Barton, it's Marc. Let me take the first part and then I think John can take the second part of your question. So, yeah, on the Easter impact, I think it's too early to say that we wouldn't expect any sort of impact right now on our numbers. With Easter on April 1, where last year it was later in April, we will have – will kind of straddle both quarters, that week before Easter is always a big week and then the week after Easter. So one of those will be in March, one will be in April. So I think you could look for a positive impact in Q1 from shifting one week into Q1 where it was in Q2 last year. And, John, over to you.
John T. Reilly - SeaWorld Entertainment, Inc.: Yeah, Barton, this is John. Good morning. I'll take the second part of your question which was around the challenges that we've had over the past several years related to people who just don't understand what we do and who we are and how dedicated our zoological employees are in caring for these animals every day not just in our parks but around the planet. And that's what Park to Planet is a component that is relating to people and as we've said before, we're pleased with the early results on that. So, I think what you're going to see going forward is that we're really focused on being better and sharper communicators. We want to spend more time and more resources and those are elements in our 2000 plan, to better communicate all the good that we do and the good that we've been doing for 54 years. So, I'm very proud of the quality of care that our zoological employees provide to our animals every day and it's inspiring to me and we are going to be very focused on better telling their story as we go forward. And as we mentioned before, we rescued over 31,000 animals in the history of this company, 2,100 last year. And we just have to do a better job getting those messages out. And the communications is a very important component of the overall marketing sales and communications strategy. So we're going to be hyper-focused on that going forward.
Barton Crockett - B. Riley FBR, Inc.: Well, I mean, just a follow-up here. I certainly understand and appreciate all of the efforts that you highlight, but is it your sense that a change in public perception is part of the driver of the growth we're seeing here early season that particularly in San Diego where we had lots of issues and now you're seeing strength? Has that negative public perception type and turn (36:26) and is that part of what's causing the growth?
John T. Reilly - SeaWorld Entertainment, Inc.: Yeah. So, Barton, I'll take it a little more specifically to San Diego since you're asking about performance there and I think we have a few factors there, certainly communications were an issue last year. Admittedly, we had challenges in that market. The transition of the product that you're referencing, we had some learnings from that. It was a bit disruptive in the market. So, we learned from that. What we're seeing right now driving the plan are our marketing and communications strategies. So certainly, they are designed to target consumers with misperceptions about our brand and our experience. But I think people are also responding to our new events, Inside Look, our capital plan, Electric Eel and our pass and pricing initiatives. So I would say we have many components working in our favor in San Diego, including the one you referenced.
Barton Crockett - B. Riley FBR, Inc.: Okay. That's great. Thank you, guys.
Operator: Our next question comes from Bryan Goldberg from Bank of America Merrill Lynch. Please go ahead with your question.
Bryan Goldberg - Bank of America Merrill Lynch: Thanks. I just wanted to follow up on one of Barton's or something you just mentioned about San Diego in terms of transitioning the product. Last year, part of the transition was the Orca Encounter show and I was wondering, based upon the performance of that show in 2017, could you update us on what you're thinking about doing with the theatrical Orca shows in San Antonio and Orlando? And then I've got a follow-up.
John T. Reilly - SeaWorld Entertainment, Inc.: Sure. This is John. We'll do. So, in San Diego, with the first part to transition and the goal there was to highlight the natural behaviors of these majestic animals and to discuss the plight of the animals in the wild, the research that is being done to help these animals in the wild. And what I would say is we had some tactical issues around the timing of the launch and the absence of the product from the park. With regard to how our visitors are embracing and accepting this transformational change in the way that these animals are presented, it's been very positive. I was in San Diego last week. Our top box ratings for this new presentation, educational presentation, are very strong. It was clearly resonating with the consumers and the audience. So, we're pleased with the reception of the product to San Diego where I think we could have done better, and we have – we'll do it differently going forward. It's just the sort of the timing and the disruption. So, we have announced that over the next couple of years, we'll be transitioning in Orlando and San Antonio and that plan stands.
Bryan Goldberg - Bank of America Merrill Lynch: Thanks. My follow-up is actually for Yoshi if he's still available. It's very rare that we get to hear from a board director of the company and I was just wondering roughly, or almost one year into the investment, I was wondering if Yoshi could update us I guess from the Zhonghong perspective, what is Zhonghong's near-term and long-term priorities with respect to the SeaWorld investment?
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: First and foremost, I'm participating on this call as a board member, not as a representative of Zhonghong and I just want to reiterate that we are so confident in the underlying performance of the business for the last quarter and on the trends that we're seeing going into this year. And as a board member, we want to make sure that the company's leadership continues to transition in a very successful manner and we are delighted, as John mentioned earlier, that Joel, being the inspirational leader that he is, has been working collectively with the board to ensure that there is a very smooth and successful transition of leadership. So I just wanted to take this one second to thank Joel as well as the board to make this very smooth transition happen in a very, very positive business environment. I believe that Zhonghong is committed to its investment. They see the huge potential both in the leadership of the company as well as the underlying performance. They see the huge potential of the opportunity with the SeaWorld brand in China in the future.
Bryan Goldberg - Bank of America Merrill Lynch: Great. Thank you very much.
Operator: Our next question comes from Alex Inez (41:19) from Van Barcum (41:20). Please go ahead with your question.
Unknown Speaker: Thanks for taking my question. First and foremost, I just wanted to – I was wondering if you could provide us with an update around the potential sale of the company more specifically whether or not you've received any compelling offers. I think given today, this morning's news, this is especially relevant. And second and this is probably most important to us, when we discuss the potential sale of the company, we're often told that the transaction is unlikely because Zhonghong pay $25 a share and wouldn't (41:50) be supportive of the deal. To me, that's completely unacceptable. So, I would like for you to provide some background or maybe explain how you're addressing this conflict of interest, especially given the company's poor track record for corporate governance.
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: So, this is Yoshi and allow me to address some of those comments. First and foremost, obviously we're not able to comment on any kind of rumors or speculations about M&A transactions. Like any company, the board will evaluate ways to maximize shareholder value and I say that with the change in shift in the makeup of our board, that is more true than ever that the voice of shareholders as well as the drive to maximize shareholder value is louder than ever in the boardroom. With respect to specific transactions, to the extent that somehow it is perceived that Zhonghong as a major shareholder could be in conflict. We have a process in place to recuse ourselves. That is a contractual commitment that we have made as well. In addition, the board has Don Robinson as a Lead Independent Director who is not affiliated in any way with Zhonghong and under such circumstance, any such transaction would be directed to him under his leadership. So clearly, we would recuse ourselves and there would be no conflict.
Unknown Speaker: Perfect. I appreciate that. I mean, I can only speak on behalf of ourselves, but given the news this morning and everything that's happened, I think that we're increasingly supportive of the deal structure.
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: Thank you. If I may just make one last comment, the news of this morning as it relates to Zhonghong, perhaps that is my role as Executive Chairman, I want to also be very clear that this was a request made by the board and not by Zhonghong. So it really is, in order to ensure, while we completely believe that the transfer of leadership will be smooth and we've already seen that happening, as insurance, the board has asked me to be – make myself available to John and Marc and the leadership of the company, given my 20 years of experience working for major theme park companies. So my role as Executive Chairman has nothing to do with Zhonghong, but it is strictly my role as a Board Director and my experience in the industry. And by the way, sorry, I -
Unknown Speaker: Okay. Yeah.
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: That role will go away once a permanent CEO has been named.
Unknown Speaker: Okay. I appreciate that. Thank you.
Operator: Our next question comes from Matthew Brooks from Macquarie. Please go ahead with your question.
Matthew Brooks - Macquarie Capital (USA), Inc.: Hi. Good morning, guys. I was wondering if you can give me any more specifics about when some of your more impactful rides are due to open in 2018, specifically Electric Eel, Infinity Falls, if not the months and something more specific.
John T. Reilly - SeaWorld Entertainment, Inc.: Yeah, Matthew, this is John. I'll take that question. So, as I mentioned before, we are working diligently in our capital planning to do better and open our attractions earlier. And I think you're going to see the first signs of that in March where you see three of our waterpark attractions come on board. We feel good about the progress we have in those parks. In April, we'll start with the other rides and attractions across the company. So we're pleased with the projected schedules that we have laid out ahead of us. Over time, we want to be moving more and more of those openings earlier and earlier.
Matthew Brooks - Macquarie Capital (USA), Inc.: Okay. And can you give me some sort of guidance on how much you spend on environmental conservation to do those 2,100 rescues?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. Hey, Matthew, this is Marc. What I would refer you to is we did put a report on our website, a CSR report. I think in there we've quoted $10 million kind of in-kind and kind of all the things we do for conservation efforts around that. But you'd definitely want to take a look at that report because it goes into a lot more detail on that whole initiative.
Matthew Brooks - Macquarie Capital (USA), Inc.: And if I can just one more, can you say something about maybe what you're looking for out of new CEO? Are you looking for someone with theme park experience? Are you looking for someone who's I guess maybe more turnaround expertise?
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: I'm sorry. This is Yoshi. With respect to a new CEO search, the board is working with a leading executive search firm. We feel that we have a fiduciary responsibility to conduct a thorough and thoughtful search. We will be looking at a number of different criteria which obviously include theme park and leisure experience, understanding of this type of business, but at the same time with a focus on maximizing shareholder value. I also want to reiterate that John is certainly being considered a candidate in that search.
Matthew Brooks - Macquarie Capital (USA), Inc.: Okay. Thank you.
Operator: Our next question comes from James Hardiman from Wedbush Securities. Please go ahead with your question.
James Hardiman - Wedbush Securities, Inc.: Hey. Good morning. Thanks for taking my call. My first question – maybe unfair question for the guys on the call, but I think it's one that needs to be asked. I guess given a lot of the commentary that the company is in a strong position and on an upward trajectory, I guess can you help us with why Joel has chosen to, or what he has conveyed to you in terms of why he's chosen to leave it at this particular point in time? And I guess as a follow-up to that, are there any compensation impacts here that are material that we should keep in mind?
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: Allow me to address the front end of your question. This is Yoshi again. And then Marc will address the financial implication. I am being very genuine with you and I think for those of you who have had the opportunity to meet with Joel or to get to know Joel, he truly is an inspirational leader. He has big vision and big ideas. I think that he also from the very beginning of his tenure has wanted to make sure that there would be a smooth transition in leadership. And so the board and Joel have had constant discussions about what his transitions and succession plans would be over the course of those years. I think he believes that he has trained and he has mentored a large group of management members here, he feels that there is significant bench strength and it's time to give them the opportunity to exert their leadership. He would not do so in an environment in which the business was confronted with adversity. He feels that with the stability in the fourth quarter as well as the positive signals that we were seeing in the first quarter and the outlook for the year that we are – that he felt that this would be a perfect time. And candidly, he did say that it would be fine for me to share that he wants to take a little bit of time for himself and to focus on his life outside of work.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Hey, James, it's Marc. On the compensation for Joel, you'll see that in the 10-K. And then also, if you kind of look back at last year's proxy, you could probably calculate it as well. I should point out that that would be excluded under our bank covenant agreement, how we report adjusted EBITDA right now.
James Hardiman - Wedbush Securities, Inc.: Got it. And then secondly, maybe talk about the competitive slate. First, with respect to 2017, obviously you had the Avatar attraction, any takeaways that you've been able to surmise from many of the data that you collect? 2018, what are the competitive attractions that you're looking at most closely in the various markets? And then obviously 2019, seems like it's the big year with the Star Wars attraction coming from Disney. I've asked this question before but never to John. Is there anything that you can do to prepare for that, and ultimately, how do you think about the impact that that could have on your business?
John T. Reilly - SeaWorld Entertainment, Inc.: Sure. This is John and I'd say overall for the entire portfolio, we have a great portfolio of brands and assets in various markets. And how I look at the competitive pressure this year is we're combating that with 15 new attractions including events, rides, parades, I believe the strongest line up that we've ever had, some of the earliest openings that we've certainly had in the last few years. So I think they're differentiated. They will improve in every case our customer experience in our parks. So number one, I think that's how we would look at the competitive issues there. In Orlando, I'd really go back to something that I said before and that we have an opportunity to do a better job to talk about the differentiation that we have in Orlando, Texas and San Diego with this irreplaceable, inspirational animal collection that provides connections to visitors that we have. So the capital attractions, the events, the parades are all going to help on the SeaWorld brand side. I think it's really a sharper marketing and communications focus on what differentiates us. So on the attraction side, that's how I look at the competitive issues overall.
James Hardiman - Wedbush Securities, Inc.: That helps. Thank you.
Operator: Our next question comes from – is a follow-up question from Brett Andress from KeyBanc Capital Markets. Please go ahead with your follow-up.
Brett Andress - KeyBanc Capital Markets, Inc.: Two quick follow-ups here. Marc, I just want to make sure I heard you right. Did you say that two-thirds of that $40 million of net cost saves was realized in 2017? And then also, do you have any update on how much of that other $25 million bucket you could flow through this year?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. Hey, Brett, it's Marc. No, what I meant to say was if you look at kind of just our EBITDA cost savings this year, we were down – we saved about $50 million in EBITDA expenses. I think obviously some of that was variable in nature. But basically, two-thirds of that, I think we would argue, is kind of towards that $40 million bucket. So we got a good portion of that $40 million bucket in 2017. And then for the $25 million, we are really laser-focused on cost right now and efficiencies and monitoring. So we're going to – we're obviously going to spend more in marketing, but we're going to do our best to drop as much of the $25 million to the bottom line as we can and go from there. So hopefully that helps you out.
Brett Andress - KeyBanc Capital Markets, Inc.: Yeah, no, that helps. And then, John, you started the Park to Planet campaign nationally. I know it's early, but is there anything anecdotally that you're seeing to give you confidence with the campaign? Has the ability to pull those U.S. domestic guests 300 miles and out into the park to actually book trips this spring and summer?
John T. Reilly - SeaWorld Entertainment, Inc.: Yeah. I think, we do have positive indicators and we're monitoring the performance of the campaign daily. We have a campaign dashboard that goes up and I won't give you the details. We are seeing a great deal of traffic to our sites, to our websites, across the portfolio. And so we're pleased with the early results and we expect that we'll have good results going forward.
Brett Andress - KeyBanc Capital Markets, Inc.: Thank you.
Operator: And, ladies and gentlemen, we've reached the end of today's Q&A session. At this time, I'd like to turn the conference call back over to management for any closing remarks.
John T. Reilly - SeaWorld Entertainment, Inc.: Hi. This is John. We just wanted to say from SeaWorld Entertainment, thank you for joining us this morning. We're enthusiastic about our 2018 year and we look forward to talking to you over the coming months and we'll talk to you in May.
Yoshikazu Maruyama - SeaWorld Entertainment, Inc.: And if I may add, this is Yoshi. On behalf of the board of SeaWorld, we want to thank all the shareholders for their support. We are extremely shareholder-focused and we continue to focus on actions to drive and maximize shareholder value. Once again, we thank you fully for your support.
Operator: Ladies and gentlemen, that does conclude today's conference call. We do thank you for attending. You may now disconnect your lines.